Gordon Sanghera: Good morning, and welcome to our 2023 Full Year Results. I'm Gurdial Sanghera, Chief Executive Officer at Nanopore. And today, I'm joined by our new CFO, Nick Keher. Today, we will talk about some of our successes and challenges in '23, what we learned this year and how we will apply that to our business and guidance moving forward. We'll be reviewing our opportunities for '24 and our expectations to meet our commitment to deliver substantial and sustainable growth going forward.
 Moving straight into our full year 2023 results. We delivered strong resilient growth in '23. Our revenues for the year were approximately GBP 170 million. That is a 15.6% growth year-on-year and 39% underlying growth, excluding COVID and EGP revenues. We have delivered consistent growth over the last 5 years with our compound annual growth at 39%. Approximately 75% of our revenues are from our consumable sales of flow cells and kits.
 We have more than 7,600 active customers, up 11% year-on-year. And in 2023, there were more than 2,800 new publications. These publications drive commercial uptake through demonstrable application of Nanopore sequencing, creating a direct pathway to commercial revenues. Our total Nanopore sequencing publications are now over 11,000 since the launch of MinION in 2015. From a cash perspective, we're well positioned with cash or cash equivalents and liquid investments of GBP 472 million.
 Moving to full year guidance for 2024. Our strong underlying growth does not mean we're not entirely immune to macroeconomic pressures reported by others in the life science tools market. We're mindful of current conditions, including lengthening sales cycles and a difficult funding environment. Therefore, we expect financial year '24 revenue to be in the GBP 180 million to GBP 195 million, which is 20% to 30% growth on an underlying basis after excluding a GBP 20 million headwind from COVID and EGP. We expect gross margin of approximately 57% in '24. And we will continue to invest strategically with financial discipline to achieve adjusted EBITDA breakeven by the end of '27. This has moved back 1 year, reflecting end market conditions, as I've just discussed in our 2024 guidance.
 Shifting to our medium to long-term guidance. In the medium-term, we are targeting revenue growth of greater than 30% on a compound annual growth rate between '24 and the end of '27. We continue to expect that 10% to 20% of our LSRT revenue will come from clinical and industrial applications through financial '26 year and beyond. We expect margin improvements moving to greater than 62% by financial year 2027. And as I've said, we expect adjusted EBITDA breakeven in 2027.
 On the innovation front, we will continue to make disciplined investments in innovation where it drives value and unlocks new opportunities. These include platform upgrades, launch of our regulated Q-Line and end-to-end workflows. We have invested in our commercial operations and leadership. We are well placed this year to take advantage of the investments we've made in commercial operations, commercial infrastructures and our leadership. We've made significant investments in our manufacturing and commercial operations with a focus on improving our customer and tech services. We've also strengthened our commercial team's regional leadership with strategic hires to help us penetrate key markets across the Americas, EMEA and Asia Pac. Nick has joined as our new CFO; Tim Cowper, former CFO, who has moved to COO and will be key to drive our operational and margin goals in the short, medium and long-term.
 I will now hand over to Nick, who will get into the financial details for our 2023 full year results. 
Nicholas Keher: Thank you, Gurdial. My name is Nick Keher, CFO of Oxford Nanopore, having joined in January of this year. Whilst only in my second month into the role, I'm very excited about the opportunity ahead.
 Just to provide a bit of color to everyone on my initial impressions of the business, I'd like to relay 3 points. First of all, the fact that this is a leading technology with the ability to go beyond current markets and drive material change to research, and ultimately, patient health outcomes. And next point being that I have been very impressed by the very capable and driven teams across the business with everyone dedicated to making this a success. Lastly, that we are a growth company. And as such, we are still an evolving business with room for improvement across our ways of working and how we operate, which I hope to help with.
 Turning now to the first slide. FY '23 represented a strong underlying performance for Oxford Nanopore, particularly in light of a slower end market that was also balanced against a number of one-off issues in the period. LSRT underlying revenue growth was 39% in the period, driven across all regions, but strongest in the EMEA and Americas where we see the potential for meaningful long-term growth. LSRT gross margins did decline on a reported basis to 53.3%, but this masks a solid underlying performance and improvements across gross margins impacted by around 550 bps of one-off and short-term events in the period, providing an underlying see-through margin figure of closer to 58.8%.
 Our adjusted EBITDA loss of GBP 104.9 million represents a number of factors. First of all, the lower revenue and gross profit than originally anticipated, coinciding with investment across the platform to support innovation and our commercial capabilities. The increased loss also represents investments that have been made now to support a materially higher revenue line, which we intend to meet. On costs, I'd like to flag that this investment did increase throughout the year and is expected to peak as a percentage of sales in the first half of 2024 before material operational leverage thereafter and to be discussed later. In terms of this loss increasing against the prior year, I'd like to remind people of the DHSC payment in FY '22. Looking to the balance sheet, we have a very strong cash position of GBP 472 million to see us through to breakeven profitability on both an EBITDA and cash flow basis.
 Turning to some further detail on our performance. We delivered strong underlying revenue growth across each geography. As a reminder, our underlying performance excludes both EGP and COVID revenues. In terms of highlights, I would like to flag the robust performance of our APAC business, growing 13% underlying in spite of well-publicized challenges in China. Across EMEA and India, we saw 50% underlying growth, which is a great result over a highly fragmented market as the investment to broaden out our commercial teams delivered substantial returns. Within the Americas, we grew 48% underlying, but we believe this growth rate could be substantially higher again as we remain underweight versus total market potential. To address this, we have brought in new commercial management in the period. We are now established and looking to drive a higher top-line.
 Turning to the next slide. And on the left, this graphic helps highlight the headwind from COVID and EGP that distorted the underlying performance in the period. Looking forward, we would anticipate marginal EGP and COVID revenues as we do not anticipate excluding them from the underlying performance going forward. On the right, we highlight the reported revenue growth across consumables of 11% and 30% across our devices and services in spite of a GBP 80 million headwind from COVID. The key point to note here is the changing mix profile relative to 2022 with higher device and service revenues, which have a lower overall gross margin.
 Taking a deeper dive, this is a new slide that outlines our revenue by 2 key franchises, MinION and PromethION. Alongside other revenues and across each of these numbers, we've excluded the impact of both COVID and EGP. We have shown this information for 3 reasons. First of all, we believe it will help analysts model the growth of the company through triangulation of expected revenues by year. Next, we believe with the prior slide, it helps explain the changing mix profile we saw in 2023 and that we will likely see in 2024 with growth strongest across our PromethION and other revenue lines, which are lower margin relative to the MinION franchise. We believe the growth that we have delivered, particularly across the PromethION franchise, is repeatable, thanks to pricing changes and as we continue to see adoption of both larger devices and the recently launched P2 devices.
 For the MinION franchise, underlying growth of 14% was positive, but we see the scope for considerably higher revenues again as we launched the Q-Line product range, which are targeting customers that want to regulate a device. And as with recent pricing changes, specifically on the MinION flow cell, we'll drive faster growth rates for the medium to long-term. While this may have a short-term impact on gross margins across the MinION franchise, we see absolute level of profit level increasing and believe we can still drive a higher gross margin over the longer term to offset this risk completely. Growth across our other category will be relative to the growth across the other 2 franchises, representing primarily kits and services for MinION and PromethION devices.
 Looking at underlying LSRT revenue growth across our customer groups, we can see progress within our larger, higher volume S3 and S2 customers, which grew 69% and 42% respectively. Growth of 20% and 19% across the S1 and indirect channels largely mirrors the performance of the MinION franchise, as previously highlighted, with reported figures held back by lower COVID sales.
 Turning to the next slide on gross -- performance on gross margin. FY '23 represented a solid underlying performance impacted by specific short-term and one-off factors. The detractors in the period included the upgrade of the towers and EGP headwind, which we've previously discussed, alongside the write-off of legacy devices and COVID kits. These detractors were partially offset by improving underlying gross margins, particularly across our MinION flow cell range. Normalizing for each of these factors suggest a see-through underlying margin of closer to 58.8%, looking to a likely question later on, on the performance here against expected for FY '24. And I would just flag again the impact of mix of higher sales of both devices and PromethION product franchise, which are lower margin relative to our MinION flow cell range today.
 In terms of the platform, this has been a year of investment as we build out to support our revenue line considerably higher than what we have delivered to date. Investment in R&D, which grew 22%, was principally due to increased headcount to support innovation and our growing product portfolio across both early and late-stage development. Total SG&A spend increased 21%. In the period, we saw our commercial infrastructure expand materially with headcount up 49% as we invest to build out our presence and support our revenue line materially above our current level.
 The balancing figure within SG&A is our corporate infrastructure costs with headcount up only 4% and reflects a more normal level of investment that we made once our platform matures. To flag for analysts and investor models, the investment in the period did ramp throughout FY '23 and into Q4 with a relatively smaller addition of headcount expected in the first half of 2024. As such, we should expect costs to increase again in 2024 before meaningful operational leverage to come through from the second half onwards and brought to life in our next slide.
 This slide reflects not just on FY '23, but on the longer term profile of the group to date, which has seen headcount close to tripling over the past 6 years, whilst revenues have more than quadrupled. In every year, we've seen operational leverage both for FY '23. And I think the context of both the timing of investment to build-up the platform as targeted in the IPO with the slowdown in the end markets we have seen at the end of Q4 being unfortunate. However, with the platform over 90% established now and a solid long-term opportunity for continued revenue growth, this is not the time to cut and run, but leverage what's been built over the coming years.
 Our next slide that helps pull together the revenue, margin and cost profile to adjusted EBITDA with the increasing loss reflective of the overall lower gross margin profile alongside the increased investment in the platform. On a reported basis, I would like to flag in the prior period, we also recognized the income from the conclusion of the Group's COVID testing contract with the DHSC, a net benefit of GBP 38 million and the impact on gain of disposal of property of GBP 18.6 million. No other changes to underlying assumptions for adjusted items, and so these figures are consistent with what has been presented previously.
 Turning to cash flow. This slide highlights the strength of our balance sheet with GBP 472 million of cash and cash equivalents at the end of 2023 and with ample resources to fill our medium-term outlook to reach breakeven EBITDA profitability in 2027 and cash flow breakeven the year after. I'd also like to flag the working capital outflow of GBP 11.7 million in the period, which is something we as a team will be focused upon improving in FY '24 and beyond as well as the asset at customers of GBP 25.6 million as this includes the impact of the towers upgrade of GBP 14.9 million.
 Turning now to guidance for FY '24 and beyond. In 2024, we expect LSRT underlying revenue growth of between 20% and 30%, which represents reported growth of 6% and 15% when accounting for the combined GBP 20 million headwind from both COVID and EGP. The lower underlying revenue growth versus prior years reflects some caution given the performance we saw at the end of 2023. We also expect growth to be split approximately 45-55 in the year, first half, second half. This weighting is supported by the time expected for our commercial infrastructure to bed in and become more productive, but also reflects on prior comments and the timing of other factors, such as the Q-Line product launch and higher volume customer growth.
 We now expect gross margins to be approximately 57% in FY '24. This is below the underlying see-through margin of 58.8% seen in 2023 and reflects prudence on the impact of mix in the year, similar to what we've seen in the prior period. We expect underlying gross margin improvements to continue with the immediate impact to both changes to pricing and increased sales of our PromethION franchise will likely have an immediate effect.
 On pricing, we have taken the proactive decision to lower MinION flow cell prices to drive higher growth rates in the knowledge that we can improve gross margins further over time to neutralize and even improve as volumes increase. We have also improved pricing across our PromethION franchise, which will deliver benefits in the second half of this year and beyond. We expect margins to be higher in the first half than second half of this year given the top-line growth profile already discussed. For awareness, it is also fair to say that the faster we grow in 2024 and beyond, the bigger the headwind to margin we would expect from mix as we see a greater number of devices placed, but with a drag effect on margins overall, that will reverse into higher margin consumable reorders in time.
 In terms of medium-term guidance, we continue to see the potential for long-term revenue growth of above 30%, driven by increased adoption of our PromethION franchise and the adoption of our Q-Line platform into regulated markets. We have tempered our medium-term gross margin assumption to greater than 62% from 65%. This is not as we see any less opportunities to drive operational improvements, but as we factor in a more cautious stance on factors, primarily mix, both customer and product. Reflecting these changes and increased focus on the cost base, we anticipate breakeven EBITDA to move to 2027 from 2026 with cash flow breakeven the year after and all supported by the cash resources on our balance sheet.
 The next 4 slides help provide some incremental context and color to this guidance. Starting with revenue, we have outlined the key drivers to our model in this guidance and what is driving the FY '24 and medium-term outlook. Looking at FY '24 specifically, we see growth influenced by continued adoption of the PromethION franchise, new device launches across both the MinION and PromethION franchises, but also with the Q-Line regulated product range in the second half of this year.
 As we look forward, we see a higher growth again can come from larger projects that we are looking at, at the moment and could start from the next quarter. From FY '24 to '27 with then see it return to higher growth rates with a bigger driver being the expected benefit from our enlarged commercial infrastructure, helping to place more larger P24 and P48 devices as well as the expected switch to higher margin consumables from those first-time customers in 2023. As a flag, we have seen customers that from our 2022 cohort that have ordered a PromethION product go on to order between 1 and 1.5x the same value again in consumables in 2023. As such, if we continue to place the larger PromethION machines at the exit run rate we saw in 2023, then our guidance is well underpinned.
 Turning to margin now. The key driver in 2024, as flagged, is the likely impact from mix as we focus on placing more devices with higher volume customers that can have a drag on near-term margins. Again, the faster we grow, the more higher volume customers we win, we expect to see this as a drag on margins in the near-term before they convert to higher margin consumable orders in the later years. We still anticipate underlying margin improvements across our existing franchises, but for prudence, we are guiding to approximately 57% for FY '24, down from what we saw in FY '23 of a see-through margin of 58.8%.
 Looking out to 2027, the big drivers on margin will be a continued improvement in yields and recycling on the PromethION flow cell range alongside the switch to more reorder style revenues of consumables. However, the tempering impact of placing new devices will likely hold back margins for the medium-term, and hence, the new guidance of greater than 62% from greater than 65% previously.
 Looking at the cost base, as previously highlighted, we anticipate 2024 to have the annualized impact from investments in 2023 with some relatively minor investments to fill in the remaining gaps we see. Then as we look to 2027, we anticipate a single-digit CAGR increase from 2024, thanks to an increased focus on existing spend and selective investments in new areas. Those future investments to selectively add capabilities or support long-term growth with clear ROI, be they commercial to expand reach and capabilities or in innovation to support long-term growth, new devices and margin improvement.
 This next slide helps position both our current level of spend and also the outlook of our investments as part of our capital allocation plans. On the left-hand side, we have our current spend with around 23p of every GBP 1 spent going towards making our products, 31p towards innovation and 46p towards selling and corporate activities. Now with the majority of that innovation and SG&A spend largely fixed and only some of the manufacturing costs variable, we see an opportunity to leverage our cost base over the coming years. Beyond 2024, and specifically the second half, we anticipate that every GBP 1 of incremental revenue we receive, around 55p of revenue will go towards improving profitability with 25p on manufacturing and the balance on specific investments in infrastructure to continue to build-up the platform in a targeted manner.
 Turning to my final slide. I wanted to leave you all with a clear message of both the positioning of the business and the investment case I see for Oxford Nanopore. We believe the business is well positioned to deliver a medium-term revenue CAGR of greater than 30% from FY '24 to '27, supported by our differentiated technologies. We see gross margins increasing to above 62% by FY '27 from 53.3% today with the scope of a further progress as our revenue shift towards a higher proportion of consumable items. Combining these 2 points where there are updated views on expenditure, we see EBITDA breakeven in 2027 with operational leverage to increase materially from the second half of this year. All of this is supported by our strong balance sheet, which has GBP 472 million of cash to deploy and take us through to both EBITDA and cash flow breakeven.
 With that, I will now hand back to our CEO, Gurdial Sanghera for closing remarks. 
Gordon Sanghera: Thanks, Nick. And as you can see on this slide, we have seen strong growth across our regional groups, our customer groups and our platforms and devices over the last 3 years, reflecting the investments we've made in commercial infrastructure and innovation. This growth is catalyzed by our continuous innovation of the platform in 2023.
 Our innovation highlights. We have launched successfully our Q20+ chemistry. Over 80% of our users are now using Q20+. Our Duplex chemistry is in early access. Our P24 and P48 in-field hardware upgrades are ongoing. We launched P2 with over 700 P2 solo units placed in 2023. We also entered early access with our P2(i) P2 Integrated Compute platform. We have worked to upgrade across our fleet real-time basecalling on the platform, which coupled with analysis integration with multiple tertiary analysis partners driving towards complete end-to-end workflows.
 Our focus area for '24 that would drive commercial growth, our sample to answer workflows, end-to-end protocols and analysis pipelines, including single cell, human variant analysis and comprehensive methylation. Our automated robotic sample prep will be released for early access in Q3 '24. Q-Line, our regulated platforms will accelerate Nanopore adoption in clinical and applied applications. Regulated platform Q-Line GridION and Q-Line PromethION will be launched throughout 2024. Our MinION Mk1D integration with Apple is ongoing. Our Mk1D device is currently in CE marking. We are preparing for the early access launch of MinION Mk1D in the second half of '24. And with the iPad accessory to become available for early access also in the second half of '24.
 On the platform front, we have continuous improvements in accuracy and throughput. Nanopore is the only platform that can provide Telomere-to-Telomere fully comprehensive reference genomes. This provides the most complete and accurate genome from a single platform. This drives our highly differentiated multi-omic platform strategy. Oxford Nanopore is uniquely positioned as a technology that provides direct native DNA/RNA sequencing. We can sequence any fragment length, long, short or ultra-long. And we can provide not only the genome, but also comprehensive methylation, structural variation and copy number variation. 20 years after the completion of the draft human genome, customers can now access full multi-omic genomes on a single platform. This represents a substantial opportunity for our multi-omics strategy. There are substantial growth opportunities to leverage not just the genome, but the transcriptome and the methylome and the proteome which is in development.
 As we take this multi-omics strategy and translate it to our core commercial focus, we are targeting applications which require rapid insights or native methylation or long reads, things that are not available with short-read technologies. Our focus areas, our comprehensive human genomes, cancer applications leveraging direct methylation and infectious disease, rapid insights in critical care settings. Powering this multi-omic revolution for each of the target areas, we are focused on delivering insights that are not possible with other short-read technologies. We have revenue-generating opportunities in discovery and translational research, delivering new biological insights. These initial breakthroughs will lead to applied clinical and industrial applications.
 Our partnerships reflect revenue growth opportunities in breakthrough discovery, translational research and routine clinical sequencing today. We have a broad universe of potential partners and research collaborators. And to give you a breadth, depth of the potential here, our research development partnerships include Mayo Clinic looking at novel cancer applications, Guy's and St. Thomas' looking at infectious disease in rapid critical care settings.
 On the research applied side, we have a collaboration with the NIH who are running an Alzheimer's trial looking at structural variation and long-reads in Alzheimer's patients. We are also working with NIHR in the U.K. on rare disease. And in each of these cases, these are things that can only be done with long-read technologies. On the commercial front, we have partnerships in the infectious disease arena with bioMerieux, carrier screening with Asuragen and biopharma QA/QC with Lonza.
 Our highly differentiated platform will drive long, short and medium-term revenues. We believe our highly differentiated multi-omic approach will enable us to hit our ambitious growth target of more than 30% growth on a constant currency basis in the medium-term. We believe our unique position in the market will help us buffer from some of the challenging LSRT markets we face today. However, we will not be totally immune to these challenging markets, which is reflected in our lower growth trajectory of 20% to 30% underlying growth in '24 and pushing EBITDA breakeven up from '26 to '27.
 With that, I'd like to open the floor for questions. Thank you. 
Operator: [Operator Instructions] We will take the first question from line Veronika Dubajova from Citi. 
Veronika Dubajova: I have 2. I'll ask them one by one, if that's okay. The first one is just to follow-up on some of the comments, Gurdial, you made about the 2024 guidance and the current market environment. Could you maybe comment for us what you are assuming for the market environment? To what extent is the acceleration in growth in the second half predicated on a better market environment? And I guess, longer term, what do you think it might take for the market to improve? What are the sort of things that you're looking for? 
Gordon Sanghera: First and foremost, I am a born optimist. And whilst this looks like it's going to be a tough trading year with LSRT markets and our peer group posting modest growth in this year, and we heed that and we take note of that. Lengthening sales cycles, longer time for projects to start is something we saw in Q4 and is spilling over into 2024 as well. So that's why we feel that underlying 20% to 30% growth, GBP 180 million to GBP 195 million guidance is conservative, but appropriate in this market.
 On the upside, the 45% to 55%, we do have several multiple irons in the fire with regard to sort of 5,000 to 15,000 population scale projects, which would really help push towards the high end of our guidance. And hence, we think given the negotiations and the sales cycles and the start-up times, those would come through the second half of the year.
 Nick, did you... 
Nicholas Keher: Yes. So I just wanted to add a couple of things to that as well, Veronika. So in terms of the market dynamics in the year, we're also helping with the 45-55 split. I'd like everyone to remember that our direct sales headcount has increased over 80% from 2022 to the end of '23. And as everybody I think can understand, it does take a little bit time for those new commercial heads to become onboard, bed in and become more productive. And really, we should start to see the full fruits of that investment start to come through towards the end of this first half and help support the second half as well, just on a revenue per head metric, even assuming that we'll be taking even the decline on a revenue per head basis given the market dynamics we see. So just to provide a bit more comfort, that's one of the big parts of the driver for the second half.
 The other piece on these -- the larger programs Gurdial [ cited ],and just because I'm reacting to another question that could come through, at the bottom end of the guidance, we haven't -- we've taken these out essentially from our guidance for this year and we have a risk-adjusted view of how these kind of ramp-up throughout the year and an assumption on wins that we could have in the second half of these. But these will be programs that run for 6, 12, 18 months. So they could actually benefit '25 rather than '24. And this year, it will be more about the launch of our Q-Line in the second half. That plus ramp-up in our [indiscernible] commercial infrastructure and the rollout -- the continued rollout of the PromethION product range, particularly the P2(i) and P2 solo. 
Veronika Dubajova: Okay. That's helpful. And then my second question, which is on the price changes that you've implemented for PromethION. If you can talk through kind of where that leads you competitively on price versus peers? And any concern that you might see customers get upset over the price increases? Just how are you thinking about that from a commercial perspective? 
Gordon Sanghera: Can we just check? The sound has been a little bit spotty. Can you hear us okay? 
Veronika Dubajova: I can hear you guys just fine. 
Gordon Sanghera: Okay. So on pricing, we have made some adjustments to pricing. With the launch of P2 solo, we wanted to bring PromethION pricing for single flow cells down from $1,200 to the $800 to $900 range. When you do that across our fleet from MinION, GridION, P2, P24, P48, it kind of sticks out that we needed to realign our MinION pricing as well. So we've done that. We've also adjusted our starter pack pricing to reflect the cost of goods as we haven't made any changes to pricing since we launched any of our products. So that's -- it's more an alignment with our medium-term goals on automation, yield enhancements and design changes on products, particularly Mk1D and automation across MinION and PromethION flow cells. This is really just an alignment and building for the future where all these projects I've just listed will drive margins back up.
 Your part 2, Veronika, I can't remember that. 
Veronika Dubajova: No, that was actually it, guys. 
Operator: We will take the next question from line Charles Weston from RBC. 
Charles Weston: 2 for me as well. First of all, can I just go back to what Veronika was asking about the market dynamics. You typically highlighted that the market worsened towards the end of Q4. So could you just explain or give us a flavor of what's happened there, in which geographies, what might unlock some of the funding constraints? 
Gordon Sanghera: I think there is -- look, we all -- kind of putting aside the sort of China challenge where we all know there is a general slowdown that has been true for the whole of last year. When you look at -- it's more generic, it's not region-specific. It's just things are taking longer to get set-up. Even contracts, one, are taking longer to start. Tender processes are a bit longer. And I think this is across life science research tools. When you look at the modest growth at 10x for posting other LSRT companies, there is genuinely a lot of concern about funding in that market space.
 Now we believe with our OpEx models and our highly differentiated platforms to drive multi-omics, we will be somewhat buffered, but it will be remiss of us not to take heed of what everybody else in our peer group are saying in the marketplace and react to that and post conservative and prudent guidance for '24. 
Charles Weston: If we then go to the thorny China issue and not necessarily so much about the general market, but also the PromethION export restrictions that you highlighted a few months ago. Have you made progress on your sort of changing factors? 
Gordon Sanghera: Yes. So there are 2 waves that you can overcome. It's not an export restriction. It's just more onerous to get your licenses if you have A100 towers. So we do have A100s on products in China with the appropriate licenses, particularly in Hong Kong. Now there is a simpler work ground to overcome this kind of painful process of getting these additional licenses. And that is to tether the A100 compute from NVIDIA to the P24 or P48. And we have our first instruments in. They're being debugged and tested. And they all look fine because it's just really literally adding a cable that is uncuttable, [indiscernible] technical work, to tether the 2, and that gets around the restriction. And we'll be rolling that out in the second half of the year, some early access in Q2. And that kind of overcomes that issue. 
Operator: We will take the next question from line Paul Cuddon from Numis Securities. 
Paul Cuddon: I have 2 questions, please. Just on these potential large contracts that could affect the 2024, and as Nick said, the 2025 revenue, is it a case of Nanopore being included or not or is it just the discussion over the potential volumes of flow cells that the uncertainty lies? That's the first question, please. 
Gordon Sanghera: There are some contracts which are Nanopore long-reads and short-reads, so mixture. And there are others where there are specific things that are unique to long-reads such as rare disease as an example or our NIH contract with the CARD study, which is on Alzheimer's, that is long-read-only. So it's a mixed bag. I mean, we are both -- the good news is, we're both in long-read, short-read contract discussions and in long-read-only as well, which you would expect. And we are targeting the long-read ones where structural variation, copying of the variation, so things like rare disease cohorts, that's where they're primarily long and that's where our focus is. But that's not to say, we're not excited about long-read, short-read programs as well. So you'll see as we pull these through to the second half of the year next year. 
Paul Cuddon: Okay. And I just wanted to probe this at cash resources and 2027 kind of EBITDA breakeven point. So I mean, to what extent is the EBITDA breakeven target conditional on that 30% mid-term kind of underlying revenue CAGR? I mean, if you were 20%, do you still have adequate cash resources, assuming market conditions continue or could there be a need for kind of additional raises? And sort of the second part of that question really is, I mean, are you saying full year 2027 or is this a December 2027 EBITDA breakeven target? 
Nicholas Keher: Paul, I think you have got 5 questions in there. So I'll take them all as we go. So it's a full year '27 not a December. So this won't be we reached profitability in December 31. It will be very much a full year number reported for EBITDA profit. In terms of the need for the cash resources and what happens if we grow at 20%, so you'll know -- well, financial discipline is going to be a big part of what we're looking at here. And we can modulate our spend up and down depending on the market environment that we see in front of us. And so that's what we're talking about strategically the company taking this in our own hands as we look forward to that 2027 breakeven. So if the market isn't doing what we want or perhaps we're not able to win as many of these programs, the slower -- things get worse, then we can modulate our spend accordingly.
 The other thing to note here as well, we have quite a considerable installed base now, actually our customers, and continue to place devices on EBIT every year. There are other ways to finance this business beyond the need to go to the equity markets for cash. And that's not -- that's one way. There is also a substantial amount of inventory we have on our balance sheet today, which we're going to work on, as we discussed in the presentation, to improve our working capital position and improve our cash flow. Lastly, there are, again, other measures we can take before we feel the need to come to the market, but that is not in our business plan. We intend to reach 2027 breakeven and cash flow breakeven the year after without the need to raise further capital. 
Operator: We will take the next question from line Odysseas Manesiotis from Berenberg. 
Odysseas Manesiotis: Firstly, on the Q-Line. Could you talk a bit about the menu you're planning to launch with at the beginning towards H2, please? 
Gordon Sanghera: We haven't disclosed a comprehensive menu. What we have talked about for Q-Line is our partnership with bioMerieux and multi-drug resistance on TB. And that is certainly at the forefront at the moment. But the way to think about Q-Line for the life science research tools customers, they will be creating their own content. Beyond that need right now is a regulated box that they can -- that is frozen with regard to chemistry hardware, software that they can port their current customer content from other platforms and migrate to Nanopore.
 So it's not that we have a specific set menu that we will be pushing through, but rather that we will react to customer requirements. And on that point, the customer sort of types range from self-service, the QIAGENs, Thermo Fishers, Agilents of the world where they just put their own assays on. They just want a Q-Line right through to custom panels with partners that we have such as Asuragen for carrier screening, which is a very specific assay for a very specific market. So I think that's the way to think about the Q-Line platform. It's an enabler to allow our customers who are a broad range of critical customers, clinical screening, RUO, LDT, CLIA-waived and ultimately through to CEO meeting, but that is much, much later. 
Odysseas Manesiotis: All right. Very clear. And secondly, we are expecting to hear one of your larger competitors on the Nanopore sequencing side announcing new launch here. From what we already know, which I understand is not a lot, but is this of any concern to you? We know it's been coming for a while, but I'm guessing more detail has been released in the last year. Do you have any commentary related to that launch? 
Gordon Sanghera: I hate to sound like a broken record, but we look forward to seeing what they are going to be launching and then we can make some commentary on it. At the moment, we don't know what their platform looks like. We know they've been working on that for a very long time to track that. We are focused on the portfolio of products we have. We're really excited about Q-Line. We think that plus enabling our customers ever increasingly to create their own content on our fleet of platforms and the range of platforms from MinION, GridION,, P2, P24, P48, we think that's a very compelling and highly flexible offering and we're focused on ourselves. But as and when we see something, we will provide some color. 
Operator: We will take the next question from line James Gordon from JPMorgan. 
James Gordon: James Gordon, JPMorgan. The first question was about the revenue growth outlook. I think at the CMD last year, you set a target for 10% to 20% of revenues from clinical and applied use by '26. So what's the thinking about what the program will contribute in 2024? And so implicit within that, the guidance seems to imply that OpEx medium-term is going to grow sort of mid-single-digits, something like that. So does that leave room to do a lot of investment in that area, things like proteomics or other more applied uses? What's the thinking about what that kind of contribute in the top-line? And how much spend are you going to allow in the guidance for that? 
Gordon Sanghera: I'll let Nick do the financial piece. Let me just talk about clinical 10% to 20%. We see huge appetite for the Q-Line product. Since we launched our Q20+ chemistry, and it was more broadly adopted most of last year, we've seen ever-increasing customers wanting a frozen box, frozen hardware and software chemistry so they can port applied markets where rather than doing discovery, research or translational research, they're asking a specific question. So we do think there will be a contribution. And we are targeting particular content that will help drive those applied clinical and applied industrial LSRT revenue opportunities. And so -- but the bulk of it is in the '25, '26 and beyond in terms of driving growth in those out years. Focus right now continues to be LSRT, mostly research and translational, but there is momentum and excitement and we're very excited about what we could do with Q-Line for applied industrial and applied chemical. 
Nicholas Keher: So James, just on the OpEx growth piece of what that allows us to do, as I think everybody has seen, the growth rate in the cost base, particularly in 2023, 22% in R&D, a similar figure in SG&A, particularly across commercial infrastructure. We've invested a lot in 2023. And particularly, that ramped up into Q4 of 2023 as well. So you will see the annualized impact to that in 2024. Then as we go forward, the incremental investment we'll need to make particularly in SG&A should be as much for the revenue guidance that we're giving for the next few years at least. So essential there will be more not as much needed in that line.
 Across the R&D line, we've made significant investments, but a lot of these projects will be rolling off going into support mode and some of those individuals will be able to work on new projects as well. And so there's more of just a case of refocusing and reprioritizing people on the strategic objectives that the company has, as Gurdial has alluded to. So this is about ensuring we get better ROI on the pound that we're spending today and making sure it's going in the right places. 
James Gordon: And then the second question was just about phasing of the margin improvement. So yes, from here out to become profitable in 2027, what does the phasing look like? I'm interested sort of from both the gross margin perspective, is it just going to be linear? And does that allow for any more price concessions? And in terms of where you're going to get the leverage over the OpEx, is it fairly linear sort of even between SG&A and R&D or some more of the leverage comes through later on over the OpEx? 
Nicholas Keher: Yes. Okay. So let me take the healthy shape of model here. So for next -- for this year, for 2024, we're guiding to approximately 57% as we take into consideration the mix impact that we saw last year, the higher growth that we're seeing from the PromethION franchise and there's other detractors and benefits that we've talked about in terms of improving margin overall on the flow cell lines and the pricing changes we've made.
 So as we then look forward to how we get to that 62% plus, it's about the top-line growth and the mix of that growth that comes. The gross margin could -- should really be higher than even 62% or 63% by the time we get to that 67 -- 2027 timeline, but it's all going to be about the mix. And as I said before, the faster we grow, the more devices we placed, the bigger the drag effect we'll see on the gross margin in the near-term.
 As those customers switch from being a -- for instance, in 2022, the cohort of people have bought PromethION device bought consumables at the tune of 1x to 1.5x the value they spent in the year before. Consumable reorders are a much higher margin and repeatable going forward. And it's about how quickly do we place these boxes out, devices and how quickly they convert to being regular reorder users instead.
 And to be just cautious and prudent on the gross margin outlook, we're factoring in a lower margin from a higher mix impact where it will be broadly linear from here. We'll see improvements, particularly on the PromethION flow cell range as it tracks the gross margin improvement on yields and recycling, similar to what we saw for MinION. So that will flow through in the next 3 years and will be a big driver. And then it will be just this switch to consumable items as well. Quite a lengthy answer to that one, I'm afraid, but there's quite a lot of moving parts. 
Operator: [Operator Instructions] We'll take the next question from line James Orsborne from Stifel. 
James Orsborne: Just 2, if I may. Firstly, just on Q-Line. I'd be interested to know maybe you can give a bit more color on kind of the progress you have on the internal side of the launch? Kind of what is left to do before launching this year? In fact, if you could give any kind of indication of demand for those boxes that would be very helpful? 
Gordon Sanghera: So with respect to Q-Line, at the front of the list -- front of the Q is the GridION, which is kind of the workhorse for people wanting to do clinical screening and public health laboratories. We know this from the month of COVID, genomic epidemiological rollout through the pandemic. So that's first. And then we have PromethION which we will also run through. The first one always takes the longest because you are building out for the first time, hardware, software, chemistry, verification and validation frameworks and processes. So we expect the other platforms as we bring online to be more streamlined. We've been building up resource in our late-stage development and quality organization to meet these requirements.
 With regard to forecasting and demand, there's a lot of interest in Q-Line. It's just not -- it's way too early to really talk about uptake. And let's just see how it rolls out as we make it available; GridION first and then PromethION later in the year. 
James Orsborne: Okay, great. Appreciate that. And then my second question was just around MinION. Kind of, I guess, always seen that the bias is sort of gateway to Nanopore sequencing in terms of adoption. I guess, firstly, with pricing increases you're seeing a change in strategy in that regard? I appreciate it's still our cheapest one in the market. And also maybe some upticks on are you seeing pull-through from MinION users into the larger sort of mid-to-high throughput devices or are you seeing customers now just going in perhaps as an S2 customer with the P2 solo? 
Gordon Sanghera: Okay. So with MinION pricing, what we've done is, as you look at our fleet from MinION to GridION P2 to P24, P48, P2 falls into that genomic explorer category, as you say, which are really drivers of technical adoption and do not underestimate 11,000 publications since the launch of MinION is a really, really amazing start. 2,800 this year is from [indiscernible]. So those genomic explorers are really critical in technology adoption and validation.
 When we look to launch P2, single flow cells on the PromethION 1,200, brought that down to 900, which left our MinION pricing out of kilter. So we've realigned that. So it's not a price concession, it's a realignment of our pricing across the platforms. We've made no change in pricing in the 10-year's MinION out of there. And it's just an upgrade to reflect cost of goods and everything today. We have medium-to-long-term design changes, particularly Mk1D, and also automation and manufacturing innovations that will bring our margins back in line. So it's not a response to reducing costs to gain market share, although that will happen naturally, and we're very pleased about that lower pricing, but it's a realignment across our portfolio, which gives us a nice straight line from our single-use MinION right through to P48. 
Nicholas Keher: Can I just make a comment on that as well? While Gurdial is talking to on the pricing here, particularly on the flow cells, we're talking about the blended pricing, particularly on the P2 when you're actually including the device cost as well. The actual cost of a PromethION flow cell has actually stayed constant, particularly when you look at reorder and consumers -- consumable items. So it's really just incorporating the cost of the P2 solo, P2(i) where they buy the device. That's why that market -- the flow cell initially is lower. But as they actually turn it into reorders, the price is actually much higher and is available on the website. 
Operator: We will take the last question from line Shubhangi Gupta from HSBC. 
Shubhangi Gupta: Most of the large peers in life sciences tools business have indicated weakness in instrument growth for this year. So what is your outlook for FY '24? The outlook is based more on instrument growth or more on consumables growth? And again, on consumables, just so for FY '23, it was about 75% of the total sales. So is this uniform across the 3 customer segments of S1, S2, S3 or is there one segment where the contribution is smooth? 
Nicholas Keher: I'll take those. So the first one on the instrument growth and what competitors are saying, you got to remember, the pricing of our instruments and devices is materially different to the peers that are in the market. And we are still in adoption and launch phase for a lot of our devices as well. So whilst the guidance being given is prudent in terms of how many devices we intend to place into the market, they're not for taking with context with the low end of 180. It's not necessarily something I would think about in terms of being a weakness for us.
 And just to flag here, last year, placing 200 -- 700, sorry, P2 solos and started the year very well on that. This is a new product launch with a lot of interest. I mean, the P2(i) actually being launched as well, the growing interest there. And as Gurdial has talked to, the Q-Line regulated instruments as well in the second half. So we're not talking to weakness in instrument growth, we are talking to slower end market dynamics.
 On your second point, I think I -- if I heard it correctly, what's driving the growth category for FY '24 relative to '23? It's actually going to be pretty similar. So we are going to see growth coming from the S3. And this is why we gave that PromethION, MinION franchise numbers for the first time today as well in the RNS and in the deck. As you can see, 83% underlying growth, the PromethION product franchise, that's a number we're very proud of, but actually, it should be repeatable as we look forward, particularly as those orders -- those customers convert through first-time buyers into reorders at consumables at 1x to 1.5x the value and as we continue to place up more boxes in the market. But the people who buy the PromethION are actually more around the S3 category than the S1 because those are clearly the level of that business.
 In terms of consumables and the items, yes, 75% is the gauge that we've seen historically and intend to see going forward as well. But within that 75% consumables you have this mix effect happening as well, which is where you've got the above group gross margin for MinION flow cells and even on the starter pack, project parks. Then we look at the PromethION, it varies, particularly as you get below group gross margin for the starter and project packs. Reorders is a both group gross margin, but it's a timing effect to become just a reorder customer as well. But working on a 75%, 25% consumable to devices is a fair way of looking at the business over the next few years. 
Operator: It appears no further questions at this time. I'll hand it back over to the host for closing remarks. 
Gordon Sanghera: So thanks, everybody. It is challenging times, but we remain supremely confident with our strategy, our OpEx model, our multi-omic approach and we're very excited about Q-Line rolling out this year. All of these, we think will roll into a very productive year for us. And as ever, I'm going to say, we want to try and beat all of these numbers, but we do want to be very prudent and conservative in what looks like a tough, tough year for life science research tool markets. So with that, I'd like to thank you all for your time. I look forward to talking to you in one-on-one updates in the coming weeks and months. Thank you. Bye, bye.